Operator: Thank you for standing by, and welcome to the Schnitzer Steel Second Quarter 2022 Earnings Release Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  And now, I'd like to introduce your host today's program, Michael Bennett of Investor Relations. Please go ahead, sir.
Michael Bennett: Thank you and good morning. I'm Michael Bennett, the Company's Vice President of Investor Relations. I am happy to welcome you to Schnitzer Steel's earnings presentation for the second quarter of fiscal year 2022. In addition to today's audio comments, we have issued our press release and posted a set of slides both of which you can access on our website at schniersteel.com. Before we start, let me call your attention to the detailed Safe Harbor statement on Slide 2, which is also included in our press release and in the Company's Form 10-Q which will be filed later today. As we note on Slide 2, we may make forward-looking statements on our call today such as our statements about our targets, volume growth, and future margin expansion. Our actual results may differ materially from those projected in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in Slide 2, as well as our press release of today and our Form 10-Q. Please note that we will be discussing some non-GAAP measures during our presentation today. We've included a reconciliation of those metrics to GAAP in the appendix to our slide presentation. Now, let me turn the call over to Tamara Lundgren, our Chairman and Chief Executive Officer. She will host the call today with Richard Peach, our Chief Financial Officer and Chief Strategy Officer.
Tamara Lundgren: Thank you, Michael. Good morning, everyone. And welcome to our fiscal '22 second quarter earnings call. Before we begin with our formal presentation, I'd like to congratulate our employees on achieving another record. This quarter's adjusted EBITDA represents the best second in our company's history. To all our employees, thank you. You have continued to exhibit the resilience, creativity and commitment to excellence that have been hallmarks of our company for over a century. You've also shown your generosity and humanitarian spirit. As Russia's invasion of Ukraine enters its second month, our company and our employees have stepped up to offer many forms of aid and support. Both to those force to flee and to those who remain, thank you. Our call today I'll review our quarterly financial results and the trends affecting our business. I'll also provide an update on the strategic initiatives we have underway both to meet the increasing demand for our products and services, and to create long-term value. Richard will then provide more detail on our financial performance, CapEx investments, and capital structure. I'll wrap up and then we'll take your questions. So let's turn now to Slide 4 to get started. As I often say, sustainability is at the core of what we do and how we operate and has been since our founding in 1906. Since our last earnings call, we've been recognized by several well respected organizations for various aspects of our sustainability program. Ethisphere named us one of the World's Most Ethical Companies for the eighth consecutive year. Corporate Knights ranked us number 15 on their Global 100 list of the world's most sustainable companies highlighting the increasingly critical role of our work in the global transition to a low carbon future. I March, I was also pleased to announce the launch of GRN Steel, a line of net zero carbon emissions products from our Cascade steel mill located in Oregon. Cascade has created some of the lowest carbon emission steel products in the world through EAF technology powered primarily by carbon-free hydroelectricity. The introduction of this new product line exemplifies Cascade's long-standing reputation for delivering innovative products that meet the ever evolving needs of our customers. Now you can see on this slide, our multi-year people, planet, and profit goals that underpin our sustainability framework. I encourage you to visit our website to view our latest sustainability report, which describes our goals in more detail. So now let's turn to slide 6. After delivering record first quarter earnings, earlier this morning, we announced our fiscal '22 second quarter adjusting earnings per share of a $1.38. Together, these results reflect the highest first half performance in our company's history. Our second quarter results benefited from strong global demand for recycled metals, with average selling prices for ferrous, non-ferrous and finished steel products at or near all-time highs. Similar to the first quarter, our year-over-year ferrous and non-ferrous sales volumes grew increasing by 10% and 8%, respectively. Our results included a full quarter contribution from our acquisition of the Columbus Recycling assets, which we completed in October. Finished steel sales volumes increased sequentially as we completed the ramp up of steel mill operations after their outage. We generated positive free cash flow and our balance sheet remains strong. We repurchased 200,000 shares of our stock during the quarter, and we continued our uninterrupted record of returning capital to shareholders through the issuance of our 112th consecutive quarterly dividends. While we continue to be impacted by supply chain disruptions, global demand for our products and services remains very high. Our outlook is strong and we expect our third quarter results to benefit from both higher sales volumes in all our product lines and the strong current price environment. Let’s turn now to slide 7 for a review of pricing trends for recycled metals and finished steel products. As you can see on this slide, during Q2, market prices for recycled ferrous metals remained at historically high levels with a dip in the beginning of the quarter followed by a strong reversal towards the end. Copper and aluminum scrap prices also traded at or near multi-year highs, benefiting from tight supplies, shipping constraints, and deployment of low carbon technologies. Demand for long products continues to rise during the quarter with prices reaching their highest levels on record primarily driven by increases in construction spending. Since the end of the second quarter, we've seen a sharp increase in ferrous pricing driven by the lack of semi-finished and pit-up iron exports from Ukraine and Russia. Supply flows are strong, supported by higher prices, spring weather, increased industrial activity, and slightly better trucking availability. Let's turn now to Slide 8 to discuss some of the longer term demand trends for recycled products and services. Demand for recycled metals is underpinned by both -term and long-term drivers. In the current environment, there are several. First, the Russian invasion of Ukraine, which has led to the subsequent shortage of semi-finished and alternative metal units from the Black Sea region. Second, the continued pent up demand on continued pent up demand for autos, appliances and other products without a corresponding recovery in supply. Third, the effects of years of underinvestment in industrial metals and mining, which has created a structural shortage. And lastly, the recent COVID lockdown in China, which covers a material portion of their metal production capacity. In the longer-term, the shift to low carbon technologies is widely acknowledged to be more metal intensive. Decarbonization is a powerful structural driver of demand for recycled metals, which require less carbon to produce than mine metals. The use of cycle metals is recognized as an important strategic solution for companies, industries and governments that are focused on carbon reduction and are committed to reducing material directed to landfills. We can see how these trends have translated into higher ferrous scrap metal demand in the U.S., Europe and China by looking at the charts on this slide. EAF steelmaking capacity, which uses scrap as its primary raw material is projected to increase significantly over just the next few years in all three regions. In addition, there's increasing demand by steel makers using BOS, who are maximizing the use of scrap to reduce the higher carbon footprint associated with their steelmaking process. In summary, both near-term and longer-term trends are supporting higher demand for recycled metal products, and pricing peaks and trough continue to reflect higher levels than we have seen in the past decade. Let's turn now to Slide 9 to review the strategic actions we have underway, which are aligned with these long cycle trends. Our strategic priorities can be summarized in four buckets, technology investments in advanced metal recovery system at our major recycling operations to enable us to extract more non-ferrous metals including copper and aluminum from our shredding activities. Ferrous volume growth with a fiscal '23 target of $5.3 million tons, representing an average annual 4% increase our fiscal '19 baseline. Expansion of our products and services to meet the evolving demand for recycled metals such as our GRN Steel launch and the reverse logistic services we provide to manufacturers and retailers. And lastly, productivity initiatives that we undertake as part of our improvement culture, where our focus is on efficiencies, in processing, procurement and pricing to offset the inflationary environment that we are all experiencing. As you can see on this slide, we have been making significant progress in all four areas. We are on track to reach our goals, which in aggregate once completed are expected to expand our EBITDA per ferrous ton margins by approximately $17 per ton. So now, let me turn it over to Richard for more detailed you of our financial and operating performance.
Richard Peach: Thank you, Tamara, and good morning, I'll begin with an update on our advanced metal recovery technology initiative. We continue to progress the deployment of our new technologies. The current status of the 13 new systems within our initiative is as follows. Four are fully operational with two more systems currently in the ramp up phase. Construction is progressing on four more systems with completion expected on three of these by the summer. The permitting process is underway on the remaining three systems. One of the systems currently under construction is an advanced aluminum separation system in the Western U.S. We already have one such system up and running in the Southeast, which is giving us the ability to produce higher margin furnace ready products by upgrading other saleable commodities. During the second quarter, just under a third of our non-ferrous recovered from shredding was processed through one of the new systems that still in the ramp up phase. Our ultimate target is to increase non-ferrous recovered from shredding by approximately 20% or around 50 million pounds on an annual basis. We are now targeting construction of our remaining installations by the end of calendar '22, while we are continuing to make good progress on the rollout. This expected time scale is a few months later than our previous estimate due to longer lead times for equipment and construction of buildings as well as our projected time scale for obtaining remaining permits. We expect total capital investment in the range of $120 million including around $15 million in the second half of fiscal '22 and the remaining $10 million in fiscal '23. Now let's turn to Slide 11 to discuss our consolidated results, ferrous sales and the market dynamics. Our adjusted EBITDA of $75 million was a record for a second quarter and represented $70 per ferrous ton. On a year-over-year basis, this result was higher by $4 million and was driven primarily by increased sales volumes for ferrous and non-ferrous, higher selling prices for recycled metals and finished steel and recognition of insurance recoveries. The quarter also included detriments from compressed metal spreads late in the quarter. Supply chain disruptions lower year-over-year PGM prices, cost inflation, a significant impact from the downtime at the average shredder and a lower benefit from average inventory accounting. The impact of average inventory accounting was a benefit of $1 per ferrous ton compared to benefits of $10 per ferrous ton in the prior year quarter. We recognized insurance recoveries of $22 million in the quarter for qualifying losses arising from the fires our steel mill on Everett facility. These benefits were significantly offset by detriments associated with the Everett fire, including a $6 million impairment charge, over $2 million for extra costs incurred and the material impacts on our profitability from lost sales of recycled metal, which made up a significant portion of the remaining difference. Average net ferrous selling prices were up by 15% year-over-year, and our ferrous sales volumes were up year-over-year by 10%, including contributions that came from Columbus Recycling. These higher sales volumes were despite the impact of the average Everett outage and from supply chain disruptions to labor and transportation, including from the Omicron surge. We sold recycled ferrous in nine countries with Bangladesh, Turkey and Vietnam being the largest sales destinations in the quarter. Demonstrating the diversity of our operating platform, our sales volumes were well balanced between domestic, sales to Asia from the West Coast facilities and sales to the Mediterranean or the Americas from both our East and West Coast export locations. Now let's move to Slide 12 for an update on non-ferrous sales and the market dynamics. Average net selling prices for non-ferrous were up by 33% year-over-year. And recycled copper, aluminum and zorba traded at prices that were at or near multiyear highs. Non-ferrous sales volumes rose year-over-year by 8%, including the contributions from Columbus Recycling. Increased challenges in securing export containers continued with shipments of 18 million tons of contracted sales being delayed into the third quarter. We sold our non-ferrous products to 17 countries with the major destinations being the United States, India and Malaysia. Our product mix was highly diversified with sales of aluminum representing 29% of our non-ferrous volumes; zorba, 22%; copper, 16%; twitch, 14%; and others making up the balance of 19%, including stainless, zurik and lead. Sales of twitch which contains the aluminum portion of zorba, has become a more significant product for us. And we expect this trend to continue after we implement our West Coast advanced aluminum separation plant during the summer. Now let's move to Slide 13 to discuss our steel mill performance and West Coast markets. Finished steel sales volumes of 106,000 tons were up sequentially by 7% as we completed the ramp-up of steel mill operations and rebuild of inventories following the restart of production back in mid-August. Compared to last year, sales volumes were lower also due to supply chain disruptions, including a concrete workers' strike in Washington State that delayed construction projects for some of our customers. Average selling prices for finished steel were up year-over-year by 51% and in the second quarter reached their highest ever. These price increases reflect robust West Coast demand and the flow-through of higher input costs, including for scrap and for other consumables. Average rolling mill utilization for the quarter was 86%. And by the end of the second quarter, we were back to normal inventory levels. Now let's move to Slide 14 to discuss cash flow, capital structure and our outlook for the third quarter. In the second quarter, we had positive operating cash flow of $47 million as profitability more than offset the increase in working capital due to the higher price environment and the build of mill inventories. Net debt was $244 million with net leverage of 21% and a ratio of net debt to adjusted EBITDA of 0.7x. For fiscal '22 as a whole, we expect to make capital expenditures in the range of $130 million to $160 million. Just under half will be for growth projects, including on our technology initiatives, investments to support volume growth and post acquisition CapEx at Columbus Recycling. The remaining fiscal '22 CapEx will be for maintaining the business and for investments in environmental-related capital projects. Capital expenditures in the fiscal year-to-date totaled $58 million, net of insurance recoveries related to the repair and replacement of damaged property. During the quarter, we repurchased approximately 200,000 shares or 0.7% of our Class A common stock for approximately $8 million. Our effective tax rate was an expense of 24% on our adjusted second quarter results. Although there are still almost 2 months left in the quarter, I'll now turn to our outlook for the third quarter. We expect our ferrous and non-ferrous sales volumes to each increase sequentially by approximately 15%, subject to the timing of shipments. With the mill inventory rebuild complete, we expect finished steel sales volumes to rise sequentially by approximately 25%. Given the sharp rise in markets, we expect a benefit of average inventory accounting in the range of $5 per ferrous ton. Current market levels and operating leverage from increased volumes are expected to increase EBITDA per ferrous ton by around 30% compared to the second quarter. We expect our effective tax rate for the third quarter to be 23%, subject to our financial performance. Our earnings outlook for the third quarter does not reflect any further disruptions to markets or supply chains and does not include any projected recognition of further insurance recoveries. I'll now turn the presentation back over to Tamara.
Tamara Lundgren: Thank you, Richard. Our record first half operational and financial results reflect our significant progress in expanding profitability, increasing our volumes and investing in technology to support our sustainability objectives of increasing recycling, reducing waste and enhancing our product and service offerings. We have a strong balance sheet, a track record of delivering annual positive operating cash flows and ability to invest in the growth and productivity of our company and an uninterrupted record of returning capital to our shareholders through our dividend. We are well positioned to benefit from continued growth in U.S. and global EAF steelmaking capacity, the global focus on decarbonization, the increased metal intensity of low-carbon technologies and additional steel and recycled metals demand driven by the $1.2 trillion U.S. infrastructure bill. In closing, I'd like to thank our employees for their outstanding performance. They have demonstrated once again why we have continued to be a leader in the recycling industry for over a century. So now, operator, let's open the call for questions.
Operator:
Tamara Lundgren: Thank you, operator, and thank you all for listening and for your time today. We look forward to speaking with you again in June when we report on our third quarter results. In the interim, stay safe, and stay well.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.